Operator: Good morning and welcome to the Erie Indemnity Company Third Quarter 2020 Earnings Conference Call. This call was prerecorded, and there will be no question-and-answer session following the recording. Now, I'd like to introduce your host for today’s call, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you and welcome, everyone. We appreciate you joining us for this recorded discussion about our 2020 third quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market close and are available within the Investor Relations section of our website, erieinsurance.com. Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause these differences, please see the safe harbor statements in our Form 10-Q filing with the SEC, dated October 29, 2020, and in the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we will move on to Tim's remarks.
Tim NeCastro: Thanks, Scott. And thanks to all of you for taking the time to learn more about Erie's performance in the third quarter of 2020. It's hard to believe it's been more than seven months since COVID-19 changed the way we live and work. All of us at Erie remain grateful to those keeping our healthcare system and economy in good standing by providing essential services. And more recently to the teachers, who are navigating this new and challenging territory over virtually and in the classroom. They're all very deserving of our appreciation and our respect. Here at Erie, more than 95% of our workforce continues to work from home, both for their protection and that of the employees who continue to report to our offices to perform essential duties across our 12-state footprint. I'm proud to echo something I mentioned last quarter, even with this new way of working, our productivity is not wavered. I'm continually impressed with how well our nearly 6,000 employees and 13,000 licensed Erie agents have been able to adapt to new challenges and demands presented by the pandemic. We're continuing to focus on production, innovation, and of course, delivering our trademark service. And while some of our competitors have announced significant workforce reductions over the past few months, we've been able to maintain our 95-year track record of security and stability for our employees through proactive cross-training in areas like underwriting and customer care. Along with our employees, our agents have also been able to maintain profitable growth and production, while adapting to a new way of working. That is evident in our premium growth, which continues to outpace the overall industry, as you learn more about in a few minutes. We're facing a very competitive environment. If the demand for digital capabilities was high before the pandemic now it's reached a fever pitch. Even those weren't necessarily comfortable with digital tools are now using them out of necessity. And all carriers are working to hone their virtual capabilities. While the pandemic has brought digital to the forefront, it also placed a renewed importance on something that can't be found behind the screen and that's the human touch. And the absence of it that human touch has become even more powerful. And along with our employees who embrace our service promise every day, the people who are delivering the human touch to our customers are the independent agents who represent Erie in their local communities. They offer something that many carriers lack but customers crave, our agents and the dedication they had to Erie is the number one thing that sets us apart from our competition. Let's move on to our third quarter financial results. As you saw in our press release filed after the market closed yesterday, Erie Indemnity reported net income of $89 million or a $1.71 per diluted share for the quarter. As I noted earlier, despite the competitive and challenging environment we face this year, we are outpacing the industry and premium growth while Conning has forecasted industry premium growth of 0.3% for 2020, we currently stand at 2% for the year. Once again, this is a testament to the hard work and agility of our sales team and agency force, who remained focused on profitable growth and retention over the past several months. On the claim side, losses remained below normal levels. This stems from a relatively uneventful summer in terms of weather events across our territory, as well as an industry-wide reduction in miles driven. Overall, our financial position remains solid despite the unprecedented year of change we're experiencing nationally and globally. I'll talk more about progress on some key products and initiatives in a few minutes after Greg's review of the financials, Greg?
Greg Gutting: Thanks Tim. Good morning, everyone. Thank you for taking time today to be a part of the Erie Indemnity Company’s third quarter earnings call. Last quarter, I spoke to you about Erie continually delivering superior performance even when facing a global pandemic. I spoke to you regarding our duty to provide best-in-class products for our agents, a safe work environment for our employees and strong financial performance for our shareholders. I can proudly say that through the amazing examples Tim has provided and the financials that I will address we have yet again, delivered in each area for our key stakeholders, even in a time of immense uncertainty. This month, Erie reached a major milestone, celebrating 25 years on the NASDAQ stock exchange. We are proud of the success and the growth that we have achieved, not only for our company, but for our shareholders as well. Thank you for your continued investment in Erie. Now I'd like to share with you our third quarter results. Starting with the Exchange, the insurance operations we manage, direct written premium growth for the third quarter was 2% driven by strong growth in new business premium, which climbed 10% over the prior year, with a combined ratio for the quarter of 89.6%. The Exchange's policyholder surplus grew to almost $10 billion, up substantially from $9.4 billion in the previous quarter. Now shifting to the Indemnity Company, in the third quarter, Indemnity’s net income was $89 million or $1.71 per diluted share, compared to $94 million or $1.80 per diluted share in the third quarter of 2019. For the first nine months of 2020, net income was $231 million or $4.41 per diluted share, compared to $257 million or $4.92 per diluted share in the first nine months of 2019. Operating income before taxes decreased 9.1% or $10 million in the third quarter of 2020, compared to the third quarter of 2019. Indemnity also saw a decrease in operating income before taxes of 5.4% or $16 million in the first nine months of this year, compared to the same period in 2019. Indemnity’s management fee revenue for policy issuance and renewal services increased $10 million or 2.1% in the third quarter of 2020, compared to the third quarter of 2019. While for the first time months of 2020, Indemnity saw an increase of $26 million or 1.9%, compared to the first nine months of 2019. Management fee revenue allocated to administrative services increased $500,000 in the third quarter and $1.9 million in the first nine months of 2020, compared to the same periods in 2019. Turning to Indemnity’s cost of operations, commissions increased $6 million in the third quarter and $20 million for the first nine months of 2020, compared to the same periods in 2019. The increases in the agent compensation in both the third quarter and year-to-date were driven by the growth in the direct and assumed premiums written by the Exchange, as well as increased incentive awards due to improved profitability, resulting from lower automobile claims in 2020, due to the COVID-19 pandemic. Non-commission expense increased $13 million in third quarter of 2020, compared to the third quarter of 2019. Underwriting and policy processing expense increased $3 million, primarily due to increases in personnel costs and the underwriting report costs. Information technology costs increased by $1 million, also driven by increased personnel costs; administrative and other costs increased $9 million, primarily driven by increases in our incentive plan award accruals due to the Exchange’s lower combined ratio and an increase in the company stock price in the third quarter of this year, compared to a decrease in the company stock price in the third quarter of 2019. Year-to-date for 2020 Indemnity saw an increase in non-commissioned expenses of nearly $22 million. Increases in technology costs of $6 million were driven by personnel costs, professional fees, as well as hardware and software costs. Underwriting and policy processing expenses increased $6 million due to increases in personnel costs and underwriting report costs. And finally administrative and other expenses increased a little over $6 million in the first nine months, primarily driven by increases in personnel costs and professional fees. Increased personnel costs in all categories included higher incentive plan awards due to the exchanges lower combined ratio and higher vacation accruals as employees took less vacation in the first nine months of 2020, as a result of the COVID-19 pandemic. Income from investments before taxes totaled $16 million in the third quarter and $19 million in the first nine months of 2020. The investment results for both the third quarter and first nine months of 2020 were driven by the COVID-19 pandemic impact on the financial markets. In closing, despite the uncertainty and volatility created by the pandemic, your company continues to deliver strong financial results, which has enabled us to pay our shareholders nearly $135 million in dividend this year. Thank you again for your time today. Now I'll turn the call back over to Tim. Tim?
Tim NeCastro: Thank you, Greg. As I touched on earlier, our teams have been doing an amazing job of executing on several key initiatives even in this adapted environment. Just in the last quarter, we've significant progress on some new products and services that will improve the way we work with our agents and provide service to our customers. One of the most notable was the release of a new mobile app in September. Using the mobile app, Erie customers can access their policy information and insurance ID cards, view the status of a claim, check their billing activity, make a payment or get in touch with their agent. A team of employees and agent task force members collaborated on bringing this tool to the market. Throughout every step of the apps design and construction, they tested it with both agents and customers, gathered feedback and implemented changes accordingly. This resulted in a highly user-friendly tool that is quickly gaining traction with customers. In the first month, the app had more than 10,000 downloads. Turning to product updates in late August, we started the rollout of Erie‘s new single product solution for commercial multi-peril, Erie Secure business. Seven standalone legacy policies have been reimagined into one single powerful product delivered on the streamline interface of Erie's commercial quote application and service or QAS system. Agents can quote bind and issue a new policy in less than nine minutes, exceeding our goal for turnaround time. Agents in Tennessee were the first tab access and in just the first month, more than 80% of agencies across the state quoted this new product. Earlier this month, the product was introduced in four more States North Carolina, Ohio, Pennsylvania and West Virginia. Agents in the remaining States will be quoting Erie Secure business in November. We also rolled out a new life product in August. Erie express light is an instant issue life insurance product that can be quoted bound and issued during the auto insurance quote and application process. This can be done in just five to 10 minutes without the need for a medical exam or a physician statement. This product opens up a whole new avenue for agents to start those critical conversations about life insurance, it makes it simple and straightforward for customers to get protection for themselves and for their loved ones. Our refreshed and a more competitive Erie Rate Lock product continues to rollout and is now being offered by agents in eight States. Erie Rate Lock provides customers the ability to lock in their auto rate until they've made a qualifying change. This refresh along with reduction auto insurance rates overall creates an even stronger long-term competitive position for our agents to support both new and renewal business. As reported in our second quarter, early results are positive. Applications are up more than 10% in States, where the new Rate Lock is offered. We're also pleased to report that the conversion of more than 850,000 legacy home protector policies to the new Erie Secure Home product is more than 90% complete. Converting these policies creates greater efficiencies for agents and employees, while also giving existing customers access to Erie Secure Homes industry leading bumbled coverages, including underground service line and equipment breakdown coverage. Pandemic has prompted us to reflect on what matters most at Erie. And the racial inequity and social justice issues that have taken on greater urgency in the public consciousness have prompted us to reflect on how we're promoting and pursuing diversity, equity and inclusion, both on our teams and in our customer base. One way we're taking action on this is through a diversity production incentive offer introduced to our agency force in August. Although the program had been more than a year in the making, the current climate across the country serves as a reminder of how important and relevant it is. To participate in the program, agencies develop and share business plan is focused on growing diversity in their team or customer base through marketing efforts, community activities, networking initiatives or hiring additional staff. If approved, they receive funding to support these efforts with the potential for loan forgiveness, if they're successful. It's important to mention that this program is focused on all aspects of diversity, race, ethnicity, gender, sexual orientation, socioeconomic status, age, physical abilities, and more. It didn't take long for our agents to get on board. We began approving agencies for the program within just two weeks of the announcement, starting in Ohio, where one agency is using this financial support to fund marketing focused on the strong local LGBTQ community. I'm proud that our agents are eager to step up and do the work to ensure that we have a rich and diverse workforce and that we're meeting the unique needs of every customer. I'm looking forward to seeing the great things our agency force does with this program. Before we close, I want to share a few recognitions and third-party accolades. First I'd like to congratulate Ron Habursky, who was appointed Senior Vice President of Investments and Chief Investment Officer. Ron has been with Erie 21 years and most recently served as Vice President and Senior Portfolio Manager of fixed income portfolios. Ron was instrumental in building out Erie's alternative investment portfolio and brings to his new role and extensive background in both fixed income and equity investments. I'm pleased to announce that Erie has been recognized on Forbes’ inaugural list of America's best in state insurance companies. And is one of only a few carriers earn awards in all five product categories, auto, homeowners, renters, term life and permanent life insurance. Also Money magazine named Erie its top pick for comprehensive renter's insurance, noting that we offer several policy bundles that combine our base renter's policy with a variety of endorsements. We were also honored this month to be named among America's best customer service companies for 2021 in Newsweek magazine. These recognitions are a nod to our enduring commitment to our finding purpose. To provide our policyholders with his near perfect protection and his near perfect service as humanly possible and to do so at the lowest possible cost. As we move into the final quarter of this, our 95 anniversary, I'd like to say how grateful I am for the dedication and resiliency of our employees and agents and for the continued support and trust of our shareholders. While we continue to face uncertain times, the strength and stability this company continues to demonstrate is a point of distinction and pride for me and I hope for all of you. Thank you all for your continued interest in Erie, I hope you and your loved ones stay well.
Q - :
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, you may now disconnect.